Operator: Good day, ladies and gentlemen. And thank you for standing by. Welcome to the Wireless Ronin Technologies Inc., Fourth Quarter and Full Year 2013 Earnings Conference Call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions. [Operator Instructions] This conference is being recorded today March 6, 2014. I would now like to turn the conference over to Erin Haugerud. Please go ahead.
Erin Haugerud: Thank you. And welcome to Wireless Ronin’s fourth quarter and fiscal 2013 earnings call. With me today are Scott Koller, President and CEO and Darin McAreavey, Senior Vice President and CFO. Following Scott’s opening remarks, Darin will review our financial performance for the quarter and the year and turn the call back over to Scott for an operational update. Following his remarks, he will open up the call to your questions. To access today’s webcast, please go to the Investor Section of our corporate website at wirelessronin.com. Please note that the information presented and discussed today includes forward-looking statements made under the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Our actual results in future periods may differ materially and you should not attribute undue certainties to our forward-looking statements. Risks and uncertainties that could cause our actual results to differ from those expressed or implied by forward-looking statements, including those set forth in the cautionary statements in the company’s current report on Form 8-K filed with Securities and Exchange Commission on May 23, 2013. In addition, our comments may contain certain non-GAAP financial measures including non-GAAP operating loss and non-GAAP operating loss per share. For additional information, including reconciliations from GAAP results to non-GAAP measures, how the non-GAAP measures provides useful information and why we use non-GAAP measures, please see the reconciliation section of our press release, which appears on our corporate website. Now, I would like to turn the call over to our President and CEO, Scott Koller. Scott?
Scott Koller: Thank you, Erin. Good afternoon everyone and thank you for joining us on today’s call. 2013 marked a pivotal year in the financial and operational development of Wireless Ronin. From a financial perspective, we achieved several key milestones including record gross profit margin and the lowest levels of operating expenses and net loss in the company’s history. These results, reflect our continued focus on cost controls and operational scalability while effectively growing our top-line and diversifying our revenue based. Operationally, the success of our efforts to broaden and diversify our customer base, was demonstrated by major new customer wins like Polaris Corporation with their Indian Motorcycle brand and Chester’s Chicken. Another significant milestone in 2013 was the formation of our strategic partnership with Delphi Display Systems. Delphi extends the sales reach of RoninCast in the QSR segment. This extension of our sales and support offering has enabled us to focus our resources on our growing pipeline of opportunities in the automotive, retail and other food service markets while Delphi takes their exclusive expertise and product offering to respective QSR clients. Today is an exciting day for Wireless Ronin. As many of you are aware, this morning we issued a press release announcing the signing of a definitive agreement to merge with Broadcast International. Based in Salt Lake City, Broadcast International is a leading provider of digital media and broadcast solutions. They bring to Wireless Ronin more than 20 years of proven experience delivering enterprise-scale, digital signage solutions for large organizations, like Caterpillar and Washington Trust Bank. But, before I go further, I’d like to turn the call over to Darin to take us through our financial performance for 2013. Then, I will return to discuss our operational achievements, the Broadcast International merger as well as our outlook for 2014. Darin?
Darin McAreavey: Thanks Scott, and good afternoon everyone. Revenue was $1.2 million compared to $1.6 million in Q4 of 2012. The decrease was primarily due to fewer orders from Chrysler and ARAMARK. For fiscal 2013, revenue increased 1% to $6.8 million from $6.7 million in 2012. The increase was primarily due to the $750,000 software license sale to Delphi Display Systems. Recurring revenue in Q4 of 2013 in hosting and support services increased 6% to $521,000 or 42% of total revenue from $491,000 or 31% of total revenue in Q4 of 2012. For fiscal 2013, recurring revenue was $2 million or 29% of total revenue. This compares to $2 million or 30% of total revenue in 2012. Gross margin in Q4 of 2013 was $659,000 or 53% of total revenue. This compares to 885,000 or 55% of total revenue in Q4 of 2012. For 2013, gross margin increased 9% to $4 million or 59% of total revenue from $3.7 million or 55% of total revenue in 2012. Total operating expenses in Q4 of 2013 decreased 23% to $1.6 million from $2.1 million in Q4 of 2012. For the full year, total operating expenses decreased 17% to $7.6 million from $9.1 million in 2012. The decreases were driven by lower cost. We continue to remain focused on effectively managing our cost and overhead. Net loss in Q4 of 2013 totaled $955,000 or $0.16 per basic and diluted share. This is an improvement from a net loss of $1.2 million or $0.24 per basic and diluted share in Q4 of 2012. For fiscal 2013, net loss totaled $3.6 million or $0.63 per basic and diluted share, improvement from the net loss of $5.4 million or $0.14 per basic and diluted share in 2012. The improvement was primarily due to increased sales and reduced cost. Q4 of 2013, non-GAAP operating loss which we define as non-GAAP operating loss plus stock-based compensation, depreciation and amortization and severance and other one-time charges totaled $811,000 or $0.14 per basic and diluted share. This was an improvement from a net – non-GAAP operating loss of $1 million or $0.21 per basic and diluted share in Q4 of 2012. For the full year, non-GAAP operating loss totaled $2.7 million or $0.48 per common share, an improvement from a non-GAAP operating loss of $4.5 million or $0.95 per basic and diluted share in 2012. The improvements in both periods were primarily due to sales and reduced cost. Now turning to the balance sheet, at December 31st, we have cash and cash equivalents of $1.5 million which was up from $1.1 million at the end of the prior quarter. The increase was due to $1.1 million financing we completed during the fourth quarter. This completes my financial summary. For a more detailed and complete analysis of these results, please reference our forthcoming Form 10-K. Now I’d like to turn the call back over to Scott.
Scott Koller: Thanks Darin. We continue to diversify our pipeline and advance our award-winning technology offerings as demonstrated by major new wins in 2013. Earlier in the year, we were selected by Chester’s Chicken an international food service provider to deploy digital signage solutions to its new location. This customer is currently marketing our solutions to more than 2000 of its existing franchise locations. Moving from static to digital menu boards was a key initiative for this client. After an extensive competitive review process, Wireless Ronin was selected because of our full service in end-to-end platform as well as our strong track record of success in the food service segment. Our ability to integrate consistent corporate brand messaging and dynamic content across the complex network communications and around the globe clearly differentiates from the competition. We have been working closely with this customer’s Regional Sales Managers to educate them on how digital signage offerings can drive sales. We look forward to working closely with their team as they deploy our digital menu solutions in other franchise locations. The Chester’s digital signage offering was officially launched by corporate to their locations in February of this year and I’m happy to report that adoption consist the efficient ones has exceeded our expectations. Another major win in 2013 was with Indian Motorcycle of Polaris Industries Company. Today, we have received orders for 105 Indian dealerships with plans for additional orders as the dealer network expand. We worked closely with Indian team to create a truly interactive in-store customer experience that matches the ease, functionality and interactivity of the Indians existing media asset. This solution comprise individual dealerships the flexibility to display local pricing and other custom information on digital signage and mobile devices while maintaining corporate level control of the primary branding and advertising messages in real-time. This win reflects Indian Motorcycle’s confidence in our uniquely powerful digital marketing technology. In the highly competitive motorsports market, our solution differentiate our customers offering and drive measurable ROI. We look forward to continue working with Indian through their nationwide rollout. The Polaris relationship built upon a 20-year history of success with the automotive industry including our deployments to hundreds of Chrysler, Fiat, Ford and Nissan dealerships across North America. Last month, we received an initial purchase order to deploy our digital media solutions in selected eateries in Macy’s Department Stores. Our solution will feature promotional board and three digital menu boards. As part of the agreement, we will provide a full end-to-end solution including RoninCast, large format displays, media players, content engineering, installation and ongoing hosting as well as additional support services. Like Chester’s we were selected by Macy’s because of our extensive experience in the food service industry as well as our industry leading solutions that have a proven track record for helping companies improve and streamline communications. Our solutions will help simplify pricing updates as well as streamline food and retail promotions. Macy’s plans to deploy digital menu boards as they remodel their eateries across the country. This new win is another example of our platform’s ability to improve the efficiency and effectiveness of messaging for our customers. We believe this is a great opportunity for Wireless Ronin and we are thrilled to be working with this highly regarded national retailer as they deploy our digital solutions across their stores. Another major win we recently secured was the Frank Mayer and Associates, a leader in the creative design and manufacturing of branded in-store merchandising and displays. As part of the agreement, we will provide digital marketing solutions for Frank Mayer’s client a leading North American heavy and medium-duty truck manufacturer with nearly 800 locations in North America. Frank Mayer selected us for this major project because of our extensive experience in the automotive industry with companies like Chrysler, Fiat, and Nissan. From a corporate level, the truck manufacturer wanted to standardize product information, increase communication, capture leads, and provide relevant analytics to its dealers, all while allowing the flexibility of dealership specific promotions and offers. This new win is a direct result of our leading digital marketing solutions that have proven effective in improving messaging, branding and marketing responsiveness across nationwide dealership networks. Our vast experience in the auto industry made us the clear choice in this competitive process, as our solutions are able to vastly improve the in-store customer experience, and ultimately, drives sales. Last April, we formed a strategic partnership with Delphi Display Solutions that extended the sales reach of RoninCast in the QSR segment. This important partnership allows us to focus our resources on our growing pipeline of opportunities in the automotive, retail and other food service markets. Delphi has an extensive amount of vertical expertise, products and services which coupled with RoninCast provides an incredible value to respective QSR customers. The partnership continues to gain momentum, as several national and international Delphi clients are currently piloting and looking to adopt an integrated digital signage solution. Based on the strong customer responsive of our combined solution as well as Delphi’s aggressive marketing initiatives and expanding sales pipeline, we are confident that there will be successful and further penetrating to grow in QSR and gas pump topper markets. It is important to recognize that Delphi chose to partner with us because of the robust capabilities of our well-architected RoninCast platform. During 2013, we released 4.2 of our platform, which expands its functionality, providing seamless communication between screens and mobile devices to deliver content to adjacent screens. These advancements, set our digital marketing solutions apart from the competition paving way for broader used by existing customers and generating new customer wins as the market continues its steady progression toward adopting digital marketing solutions. Wireless Ronin’s Technology and top leadership is regularly recognized by the digital signage industry. This is reflected by the major industry awards we have won over the years. Earlier this year, RoninCast 4.2 won the 2014 DIGI Award for Best New Content Management System. The DIGI Awards recognize the leading software and service providers, resellers, and integrators in the digital signage industry. We are honored to receive this prestigious Award, which reflects the continued advancements of our RoninCast platform. We remain committed to improving our software and digital marketing solutions to provide our customers with the most innovative, engaging and dynamic content. Additionally, we routinely received recognition by industry analyst and journals for our top leadership in this space. Most recently our White Paper entitled Success Starts with Strategy, A 5-Step Guide to Develop Your In-Store Digital Content Strategy was picked up by a low respective publication DigitalSignageToday.com. Now, I would like to add some color on our announcement this morning regarding Broadcast International. This merger combines the exceptional strengths of two of the industry’s leading technology innovators. As we have communicated previously, we have spent the last two years analyzing a range of strategic opportunities all aimed toward accelerating our growth, maximizing our technology and building shareholder value calling an extensive review and due-diligence process, we believe that merging was the right decision that will allows us to capitalize on the tremendous customer technology and cost synergies of the combined company. Broadcast’s award-winning Managed Media Services or MMS platform is highly scalable multi-channel solution that allows global enterprises to centrally manage and deploy digital media assets, including signage, posters, video, and music. MMS leverages Broadcast’s patented CodecSys software, CodecSys is a breakthrough, multi-codec video compression technology that reduces bandwidth requirements and provides unprecedented performance benefits. CodecSys optimizes content delivery for Broadcast Digital Signage Solutions by providing the end user high quality video content with minimal bandwidth. At just been 10 years and close to $40 million, CodecSys is steadily changing the paradigm of the compression industry by eliminating technological obsolescence by flashing bandwidth need, CodecSys enables a new generation of rich media application offers unprecedented price and performance benefits. CodecSys provides Wireless Ronin a strong competitive advantage and also opens up attractive licensing opportunities and revenue streams for the combined company. In addition to CodecSys, Broadcast licenses a range of other point solutions including its Messaging and Music On Hold or MMOH technology. This proprietary technology allows companies to customize on-hold music as well as broadcast promotions and important information to its customers. Both CodecSys and MMOH as well as other Broadcast products will provide tremendous cost selling and upselling opportunities across our combined customer base. Adding Broadcast’s technology to our award-winning RoninCast software, creates the most comprehensive, synergistic offering in the digital signage industry. This merger also gives us greater scale which continues to be a critical factor in the highly fragmented digital signage industry. Broadcast enhances our market scope through its deep experience deploying and managing large-scale digital signage solutions, on the other hand, Wireless Ronin brings to the table prudent omnichannel marketing capabilities, which can be sold into Broadcast’s customer base and sales pipeline along with other extended solutions and services. The merger will also strengthen our Board of Directors with the addition of Broadcast Director, Don Harris. He will bring more than 20 years of experience in the IT services and telecommunications industries. Don is currently President of 1162 Management, a private equity firm. He previously served as Chairman, CEO and President of UbiquiTel, a leading provider of digital wireless personal communications services and NASDAQ-listed company before it was acquired for $1.3 billion by Sprint in 2006. He was also a President of Comcast Cellular Communications calling various senior management positions with Comcast and PacTel. We believe Don’s extensive industry knowledge and experiences will be of a tremendous value to the combined company. All together, we expect the merger to provide valuable synergies and competitive advantages in terms of business development, geographical footprint and platform technology to more effectively capitalize on the multi-billion dollar market opportunity in digital marketing and signage. Importantly, we believe the merger presents near and long-term potential to create meaningful value for our shareholders and client base. Now with that, we’re ready to open the call for your questions. Operator, please provide the appropriate instructions.
Operator: [Operator Instructions] There we are, we have a question from the line of Tom Pierce with Ben Clements. Please go ahead.
Tom Pierce – Ben Clements: Good afternoon, guys.
Scott Koller: Hey, Tom. How are you?
Tom Pierce – Ben Clements: Good. Thank you. Well I thought this merger seems very much interest I had, my question is it sounded they had some pretty high sales here two years ago they dropped off rather dramatically. Can you address that?
Scott Koller: Yes, Tom. They did a large amount of business over a three to four year period with Bank of America. Like Ronin, as a public company, they were very transparent and went into viability issues if you will with Bank of America as Bank of America look to roll that opportunity out further. And, not a question of the technology, not a question of the people, not a question of the service, however, just result of a very large concentration of their revenue being with one key client. With that said, I think that’s why the – it’s very important to note that merging the two pipelines having more than one big client between the two of us in this highly fragmented industry is very, very important. So, again, it wasn’t a question of their ability to services client, their technology is outstanding, it wasn’t a question of their people or their commitment, merely a question of a very large chunk 90 plus percent of the revenue coming from one key client which did not passed all that misstates for BOA.
Tom Pierce – Ben Clements: My question comes to mind that is that a debt issue, could that be resurrected?
Scott Koller: Nothing is ever a debt issue, there will be opportunities, they have a contracts and estimated servicing them right now and that contract will come to an end at some point in time which they will probably go through their – for this – their responsibility at looking at us until they have the proper vendor.
Tom Pierce – Ben Clements: Okay. Well, I’m going to get back in the queue. I’ll let somebody ask some question.
Scott Koller: Thank you, Tom.
Operator: Thank you. Our next question is from the line of Jack Frid with Discovery Investments. Please go ahead.
Scott Koller: Hey, Jack.
Operator: Mr. Frid, your line is open.
Jack Frid – Discovery Investments: Thank you. Okay.
Scott Koller: Hey, Jack. Good afternoon.
Jack Frid – Discovery Investments: Good afternoon. How many employees do they have and how many are going to come with us? Thanks.
Scott Koller: Right now we decided to bring four employees over only at this point in time. So, there will be minimum addition to our OpEx.
Jack Frid – Discovery Investments: Okay. What about existing revenues, do they have some revenue?
Scott Koller: Yes, they have some revenue coming over, they have some very key clients well that has addition to grow that revenue. However, the revenue they do have coming in now will help offset any cost we have at those four key individuals we’re bringing on board. I think more importantly taking advantage of the combined company and addressing both our sales pipelines as well I’m excited about.
Jack Frid – Discovery Investments: What – what happens then with their – they must have some debt, do we have some of that debt?
Darin McAreavey: So, absolutely converted that simultaneously when closing in the equity so we will not to bring more or any long-term debt as part of the transaction.
Scott Koller: Yes, one of the conditions of the closing was it will be $250,000 or less than that.
Jack Frid – Discovery Investments: Okay. What about ourselves at cash position with about a $1.5 million here at the end of the quarter. And coming off the fourth quarter here, what do we see here for the potential first quarter moving forward?
Scott Koller: Yes, we’ll focus on execution, we’ll focus on maximizing their pipeline and our pipeline and bringing in revenue. We need to make sure the company is in a financially viable situation, however right now we’re focused on execution and we will stay focus on execution and address any cash concerns we have when we need to but at this point in time, we’re just focused on driving revenue, Jack.
Jack Frid – Discovery Investments: Okay. I’ll go back into the queue to let somebody else ask some question. Thank you.
Scott Koller: Thank you, very much.
Operator: Thank you. And our next question is from the line of Rick D’Auteuil with Columbia Management. Please go ahead.
Rick D’Auteuil – Columbia Management: Hi. You answered one of my questions with the balance sheet response but what – with the four employees in the run rate at the end of this quarter, what’s the new breakeven revenues that you’re looking at?
Darin McAreavey: Yes, we’re roughly right around in our historic margins of $55.25 million.
Scott Koller: Per quarter.
Darin McAreavey: Per quarter.
Scott Koller: So, where the $10 million mark with the combined company, that should not – it actually not changed with the merger much. Again, they do have revenue coming in and so a good margins that we’re bringing over minimal cost.
Rick D’Auteuil – Columbia Management: And you talked about both long-term and short-term opportunities, is there anything in the pipeline that’s a combined company is looking at, that could help in the next couple of quarters or how should we think that?
Scott Koller: Absolutely, absolutely. I can add a lot of transparency to it but again in both pipelines, there is some solid opportunities. This merger I think does take two premier platforms that are much more synergistic than they are [duplicate] if you will or redundant. And I think we’re going to be able to leverage that in these key opportunities in our pipeline, I think it’s going to be an extremely robust and very competitive product line above and beyond what each company has on their own today. The market is – continues to be extremely fragmented coming off the DSE Show, there were 61 vendors listed that provided Quad-Core software for the digital signage industry, 39 of them specifically for digital menu boards. I think combining these two platforms in the tower of the companies will help us better address our pipeline and better address the needs of our clients in a competitive manner.
Rick D’Auteuil – Columbia Management: Is there anything that needs to be done to make the two technology – to combine the two technology from a – I guess the technical standpoint?
Scott Koller: Yes, there is but right now I mean I think the key here is unless the integration there will be an architecture put together in an integration, I think there is some incredible value to each of the – their MMS and our CMS. However, right now unless it’s driving revenue, preserving revenue and or required specifically for a client which has scale, that will be done over time and not deter us from driving revenue in a short-term profitability. So, yes we will – yes sir we will architect what we feel is going to be an incredible platform but right now we’re really focused on driving revenue, driving the pipeline and revenue preservation, margin preservation unless we have a need to accelerate that integration, we won’t unless they have something to revenue.
Rick D’Auteuil – Columbia Management: Is there – is there – what’s your prognosis on that breakeven revenue level is likely within a quarter or two that we get there?
Scott Koller: We don’t give guidance, I’ll say we’re extremely optimistic on what the two pipelines hold together and this wasn’t just about merging to get some IPE and get some incredible technology, this had everything to do, we’re driving revenue and getting to breakeven faster.
Rick D’Auteuil – Columbia Management: Okay. That Delphi pipeline is multiple pilots, any of these likely going to get into the – at least three figure levels – 100 curve relationship? And then any of them that have a potential to be a four figure location relationship?
Scott Koller: Yes, the shorter answer is yes on both accounts, Delphi is being very aggressive, they’re focusing very hard on QSR and the pump topper convenient store arena. The pilots are with serious customers, seriously looking at digital signage to increase sales and drive promotion in LTOs. This is what Delphi does well, this is where their expertise has they have us and so we would not be in front of – couple of these accounts that wasn’t for them. So, and I won’t talk through for Kin Delphi but their – there been a aggressive plan laid off for their sales force and for themselves for this year. So, they will continue to pursue that plan we’ll support them in every way we possibly can.
Rick D’Auteuil – Columbia Management: There is a profit sometime this year, they’re going to neatly come back and buy more nodes there?
Darin McAreavey: We certainly hope so.
Scott Koller: We certainly hope so, that would be fantastic but right now they’re pretty well equipped to get to these pilots and at least a rollout of 200, 300, 400, 500 stores.
Rick D’Auteuil – Columbia Management: Thanks. At one point, Scott, you’re looking at other verticals to do what Delphi like relationship with and any of those – do any of those – are any of those still alive or [indiscernible]
Scott Koller: Yes, sir. And Rick actually thank you for bringing up that point. The merger with Broadcast I think is a very important step with Wireless Ronin with Broadcast and has a great future for the combined company. However, that just not mean that we will stop looking at other strategic endeavors that can help us again, accelerate organic and in organic growth and give us opportunities outside our normal verticals, they just seem to be smart and well fought out. But, yes we will continue to look for strategic relationships that can help us accelerate the profitability margins and revenue.
Rick D’Auteuil – Columbia Management: Yes, I know you don’t give guidance but how many of the main opportunities that you talked about and exceeds 100 locations.
Scott Koller: Today we just – that we hold today around…
Rick D’Auteuil – Columbia Management: Just this year, just I want to put a timeframe on it because 100 locations over a decade doesn’t help us much.
Scott Koller: No, I agree. Polaris already went over a 100, we expect to grow exponentially and at the same time, we are extremely pleased with the Chester’s official launch of their product line which was this February. We’re very pleased with the number of orders we’re getting in. So, I think both of those, one is already exceeded and the other one will exceed, I’m actually pretty confident we’ll exceed but I won’t get guidance to it just I’ve been in this industry too long.
Rick D’Auteuil – Columbia Management: All right. Is there anything else out there that could get to that level this year, Frank Mayer one?
Scott Koller: Yes. The Frank Mayer one we just announced and yes there is several others that could exceed their 100 – 100 store location outdoor.
Rick D’Auteuil – Columbia Management: So, we would expect the NOC revenue per quarter to beyond and upwards right now?
Scott Koller: Yes, sir.
Rick D’Auteuil – Columbia Management: Okay. Thank you.
Scott Koller: Thank you, Rick.
Operator: Thank you. [Operator Instructions] Our next question is from the line of Russell Wagner who is at a Private Investor. Please go ahead.
Russell Wagner – Private Investor: Hello.
Darin McAreavey: Hi, Russell.
Scott Koller: Hi, Russell, how are you?
Russell Wagner – Private Investor: Okay. Well, I want to first of all say thank you for updating the website and putting all those logos across the homepage, I look at it and see that’s streaming across quite impressive. The companies and their logos that you guys have acquired. So, I think that was great. I was curious on the – when the debt when you’re going to – from the acquisition – from the merger, you’re going to be need to issue shares and any dilution issues to take care of that debt?
Darin McAreavey: That will be part of what was disclosed in the releases morning that went out that the shareholder the Broadcast shareholders will receive 36.5% and that will be distributed in new shares that will be issued from Ronin to the existing shareholders and the debt holders.
Scott Koller: But again, that debt if you look at that, that debt will be cleared out, we have the condition of maximum of $250,000 of debt coming over it at closing. So, any other debt above and beyond that will be taking care of from the Broadcast side product to the closing.
Russell Wagner – Private Investor: Okay, that’s great. Because, they have like – they’re once – I want to say $5 million on their balance sheet in debt, so is it only $250,000 of that incurred?
Scott Koller: Yes, sir. Yes, Russell. We were in no position to bring over a large amount of debt as you’re well aware off. So, it was part of the agreement and again I think that the ratio makes sense for Broadcast and for Ronin.
Russell Wagner – Private Investor: Okay. Do you guys – do you ever knew cheap technology offers there going on, I was wondering what was up going on with that position?
Scott Koller: We escalated with the departure of our past CTO, we are elevated, Dan Alstrup into the Vice President of Technology roles. In addition, one of the key members coming over from Broadcast is probably when there is CTO. So, we feel like we have the technical account we need to run our development technology and support group. So, a part of the decision making process was in mind that the merger was taking place.
Russell Wagner – Private Investor: Someone will have that title of it CTO and their future?
Scott Koller: Either that will have the responsibility of a CTO.
Russell Wagner – Private Investor: I see. The quick questions to, Delphi add a number of healing stations I recall. Is there any action to wireless Ronin might be working with any of those type of situations?
Scott Koller: Well, I know Delphi has done extensive research in the gas topper and the communist store arena, they have a person higher dedicated to that vertical. They have an incredible profit offering, hardware support service for the gas topper industry. So, if somebody focus on it with the right product line adding our software to it and integrated with their product line from a software perspective. I think we have a great offering and they’re very aggressive in that market pace.
Russell Wagner – Private Investor: That may be possible?
Scott Koller: Yes, sir.
Russell Wagner – Private Investor: Alright. And lastly, well – on the fast food industry, if you could highlight any updates going on with the various fast food restaurants that you’re involved with, any highlights I don’t know if I missed anything about that.
Scott Koller: Well, we think, no we’re very excited with the adoption rate of Chester’s. Again they open anywhere from 250 to 350 new locations a year, we plan to be part of each one of those new locations. There in addition they’re also marketing it to their existing locations which is about 2000 plus strong. So, we expect that to be very solid growth for us. We continue to expand MOOYAH and ARAMARK which falls under food service for us and continue to be a very good clients. And then when it comes to just pure QSR, and that’s being addressed by Delphi and their reach.
Russell Wagner – Private Investor: Well, any other large fast foods, I know it sometimes they’re basis of franchise versus corporate-owned and how many gets in great names but if you’re only in a few or is it’s just royalty or just able to capture multiples?
Scott Koller: Yes, that’s a great point. Historically, Ronin, we’ve had our relationship with corporate KFC and the other people we dealt with has been from a corporate standpoint. Delphi has a tremendous network of relationships to include corporate and key franchise locations. So, they’re pursuing all avenues at this point in time.
Russell Wagner – Private Investor: Okay. And Buffalo Wild Wings, is that quite?
Scott Koller: That’s pretty quiet.
Russell Wagner – Private Investor: Okay. All right. Thank you.
Scott Koller: Thank you, Russell. Have a great day.
Operator: [Operator Instructions] And our next question is from Tom Pierce [Ben Clements]. Please go ahead.
Tom Pierce – Ben Clements: Hey, guys. I’m back.
Scott Koller: Hi, Tommy.
Tom Pierce – Ben Clements: Just a few points here. Recently, and I just kind of set ways with what Russell was talking about, what Richard was asking about is just about a month ago I talk to Delphi I can out there. And I asked some how you side everything and he was saying well the RoninCast that was superb, that we had a four salesmen at the end of 2013 that’s call just on that and we’re adding two more for now. So, I expect by now it gets added those two more brand uptake just to call on that. Recently there was an article in what’s called the DailyDOOH due which is Daily and then DOOH was which stands for Digital Out of Home. And there was – and then we were like – I’ll take it for last time but again interviewed couple of the guys from Delphi and they gave quite a list of people with they’re working with and if you guys and the very end of the article so that sounds were powered by Wireless Ronin. But they were very – if some of you wants to look at that article, I can pull it up and just they’d been Wireless Ronin, you see a very positive article talking about all the different places reporting them. And if anybody has watched it and do it slightly at all, they’ve seen there has been a lot of talk finally about calorie count, great deal up in Canada right now it seems like it’s finally get some blakes down here and I wondered if you guys could comment on that?
Scott Koller: Yes. I mean first of all from the Delphi perspective, I can’t say whole lot more Tom. They’re great partner, they’re very smart people, they know their vertical extremely well. Their product line we have completed the integration with RoninCast with their product line is QA testing now which will give them an extremely robust platform to go to QSR with. They have incredible relationships and they’re working extremely hard, there are talented bunch of people and that’s why this relationship made so much sense. So, they’re extremely optimistic. They’re also not a public company so they can be a little more transparent what they’re working on. However, it’s a great partnership and I can’t say enough about them and yes calorie count it continues to get national headlines and continues to be an important part of this administration and I think future administrations as they battle and address obesity in the United States and elsewhere. So, yes extremely encouraging, I don’t get hyper excited about when the news is talking about calorie counts because we’ve all be done this path and they’ve been talking about it for a very, very long time. However, the more recognition it gets as the more is talked about I think the more it just becomes a fact that each and every single food establishment of any kind of scale is going to have to address nutritional requirements. And probably and it not in so near future, they’re going to have to address allergens and a lot of other requirements as well. So, I don’t see how you do that in a static format and I think that’s why having the Delphi relationship is so incredibly important as we address that.
Tom Pierce – Ben Clements: Thank you.
Scott Koller: Thank you, Tom.
Operator: Thank you. And our question is from Jack Frid [Discovery Investments]. Please go ahead.
Jack Frid – Discovery Investments: Just a couple more questions, Scott and Darin. On the $2 million contract I guess are to 7500 node, figuring that out, it comes to $266 of seeds. I guess the node would be are licensing fees for one-time is that correct?
Scott Koller: Yes. That’s a combination, if you look that is software seeds and then minimum hosting requirements as we move through the five-year contract. So, it’s not just pure software seed, that’s a combination of meeting a minimum requirements which we believe are extremely – extremely milestone for Delphi to me over the five year. So, it’s not just pure software licensing, it’s pure to support from our network operation center and licensing.
Jack Frid – Discovery Investments: Well let me ask you this then, on these Quick Serve Restaurants, if Delphi is in the drive through with these one or two drive lanes, depending on the restaurants, how many signs again would be added inside for that?
Scott Koller: It completely depends on that QSR, their menu size and really what they want to do strategically. In most cases if they’re going to take what they have in, in print digitize it and put a day-part in it, we’re looking anywhere from three to five screens going across each one requiring a node. And then outside, you’re probably looking at one promotion and or for menu boards will be two to three to four screens as well. It really depends on the menu I mean on the opposite side of the equation, what this will allows you to do is day-part more effectively and if everything does not have to be on the menu in any given point in time, you can streamline that. However, what we found with most of our clients is they’re looking to expand the menu, have a lot of things on the menu in a given point in time with emphasis being different during different day-parts. So, but if you want to just find an average, you can say somewhere between 5 to 10 nodes per restaurant would be a good calculation what they would be doing.
Jack Frid – Discovery Investments: Okay. Just, go one step further then, it’s been a while but my understanding there is at least 300,000 plus Quick Serve Restaurants in the U.S. is that number accurate?
Scott Koller: 300,000, I don’t know if that’s been updated lately. I mean – yes it’s a lot, it’s a lot and it’s a big addressable market both with QSR, we drive to in QSR pass casual without so food service does represent a massive opportunity.
Jack Frid – Discovery Investments: Okay. And then just again if Delphi is in 30,000 plus stores out of the 300,000, they have at least 10% of the market now that they’re in, is that correct?
Scott Koller: You have to remember the technology they’re in with right now, they’re in with some menu boards but they’re in with a lot of order confirmation. So, their – they have great clients, they’re in numerous locations, they have great scale and their primary product historically has been order confirmation which they execute in just wonderfully. Adding digital signage to that is just a huge error in their [indiscernible] which they can now address a much bigger demand at the QSR level.
Jack Frid – Discovery Investments: Just to come back here to the fourth quarter in the Chrysler and the ARAMARK being down. What is can you share with us which has become an forward price for in ARAMARK in future quarters, can you explain what that?
Scott Koller: Yes. And this – and this is again drives some of the strategic decisions I mean again a small companies with a lot of our revenue, the bulk of our revenue in two, three, four baskets, it leaves us very susceptible to fluctuations in our revenue is one or two of those clients have an half quarter. That’s why the pipeline has to grow, the number of key clients we do business with has to grow and we have to be less – we don’t want revenue go down with them but we got to be less dependent on the fluctuations of those large clients. So, it’s just a state we’re in right now Jack until we have 5, 6, 7, 10 large clients producing like that, we’re going to be susceptible to having a tough quarter if they are soft for that quarter.
Jack Frid – Discovery Investments: Okay. That’s all I got. Thank you.
Scott Koller: Thank you, Jack.
Operator: Thank you. [Operator Instructions] I’m showing no further questions. I’ll turn the call back for closing comments.
Scott Koller: Thanks everyone for joining us on our call today. I especially want to thank our investors for their continued support and patience as we build Wireless Ronin into the industry’s leading digital marketing technologies provider. We look forward to updating you on our next call. Thank you, very much.
Operator: Ladies and gentlemen, this concludes our conference. Thank you for your participation. You may now disconnect.